Operator: Dear ladies and gentlemen welcome to the H1 2020 Results Analyst and Investor Call of Vonovia SE. At our customer's request, the conference will be recorded. As a reminder, all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] May I now hand you over to Rene, who will lead you for his conference? Please go ahead sir.
Rene Hoffmann: Thank you, Alexandra and welcome to our earnings call for the first half of 2020. Your hosts today are once again CEO, Rolf Buch; and CFO, Helene von Roeder. We're in different locations today, so bear with us in case we have slight delays, especially in the Q&A. I assume you have all had a chance to download the H1 presentation. In case you have not, please go to our website and you'll find it under Latest Publications. Rolf and Helene will lead you through this results presentation on the basis of the agenda on page three and of course we'll be happy to answer your questions afterwards. So, let's get right to it and let me hand you over to Rolf.
Rolf Buch: Thank you, Rene. And also from my side a warm welcome and the summer holidays probably for some of you. I have already finished summer holidays and I go home now. So, I think you have seen in the H1 presentation that we have shown a robust performance and actually we have seen no meaningful impact from COVID-19. We have not explicitly disclosed it, but our rent collection is in the normal corridor of above 99%. It's a B2C business. And this is -- so a risk to many this specialty that the customers are backed by a strong social security network. So, that's why it's not a surprise that rent collection is in the normal corridor. So, overall, the business is boring and we are even more -- now more relaxed than after the Q1 because all processes in our company are adapted to COVID-19. Performance was more or less comparable to last year, 3.9% organic rental growth. EBITDA was up by 8%. Group FFO was up by 11% so good results. Adjusted NAV is up by 5.4% in comparison to year-end 2019. This -- the main reason is €2.2 billion of value growth. But please keep in mind that we only have valued two-third of our portfolio. And we see constant value growth across all regions except Berlin, which of course, is obvious because of the rental regulations there. There we only have seen a 0.9% growth on -- value growth.  EPRA -- we have disclosed the first time the new EPRA metrics, especially the EPRA NTA which reflects more or less the value of the brick-and-mortar which is €58.14 per share and then the EPRA NAV which reflects more or less the value of the company which is around €72. Capital structure very solid. LTV is stuck in the middle of our comfort zone at 42.7%. And net debt-to-EBITDA multiple is 12. We fully can confirm our guidance 2020 which in EBITDA of roughly let's say €1.9 billion so the corridor which you see on the slide. And we also confirm the corridor for FFO but on the upper end of the corridor of €1.275 billion to €1.325 billion. So, this is relatively good news in this period and probably not all companies are able to confirm the upper end of their original guidance before COVID-19. And with this, I hand over to Helene.
Helene von Roeder: Hi, thank you very much. So, we had a slightly larger average portfolio base in H1. And together with performance improvements, this resulted in an 8% growth for EBITDA total and 11% growth for Group FFO. As per the end of June, the FFO per share is still based on 542.3 million shares. But just as a reminder at the end of July that number went up by 6.6 million shares as a result of the scrip dividend which was chosen by 41% of our shareholders. That is an increase of 1.2% in the number of outstanding shares. So, if you look at year end per share estimate you want to be sure to account for this. So, let's talk about the individual segments and start with the Rental segment on page six. Rental income increased by 11.6% and €118 million in total of which €89 million came from Hembla and the remainder from organic growth by way of rent increase and vacancy loss reduction. Maintenance expenses were €154.7 million, slightly up in line with the increased portfolio volume. Similar to Q1 2020, operating expenses were impacted primarily by two things. The first thing is obviously Hembla. As you know, we are in the process of putting the operations of Victoria Park and Hembla together. But at this point, the operating synergies are still to be realized. The second reason is the ancillary expenses included in the rental income and in the operating costs because of the concept of warm rents in Sweden. Rough math suggests it's about €50 million for H1 2020 and about €20 million for H1 last year. On to the next page 7. It shows the main operating KPIs for the Rental segment. Organic rent growth was 3.9% year-on-year, of which 1% came from the market, 2.3% from modernization and 0.6% from new construction. Vacancy remains very uneventful at a low 2.8%. We're actually seeing in the wake of the COVID-19 crisis that vacancy loss is coming down as fewer people move out, but interest in off flat from potential tenants remains very high. Maintenance expenses per square meter were exactly in line with last year and capitalized maintenance was higher than last year as expected because we have planned for a number of targeted larger scale measures this year. And with that back to Rolf.
Rolf Buch: So let's move on Page 8 of the value-add segment. The adjusted EBITDA came out at roughly €67 million and was roughly 10% lower than last year. There is basically two reasons for this. First, the share of the work out by our own craftsmen was lower than last year and was compensated by higher volumes of order handling. So actually it is clear in the COVID-19 crisis we decided not to tear down facades on the building and roofs which -- this is work which we are normally doing with internal resources. Of course we continued the new construction. So that's why the mix effect is slightly changed and that's why we lost a little bit volume for our craftsmen organization. This comes out with a little less contribution. But we are very optimistic that this will be kept -- catch up during the year, so we are not worried at all. But here you will see really a small COVID-19 impact. And second was -- as we have said in the first quarter was the extreme wild winter. Winter is actually absence of snow. So that's why we had no external turnover from snow removal and de-icing of sidewalks which explains the slower -- the smaller external income. Overall, value-add business is a long-term business and we will see long-term growth. And while probably some quarter especially this quarter was negatively impacted mainly due to COVID-19, we see good progress in all other sectors. We provided multimedia service to 10% more customers than one year ago. We provided 85% of the residential environment service with our own people. This is up 15% year-on-year. With the smart metering, we are covering 210,000 customers, 10% year-on-year. And we are supplying energy to 68 delivery points in our portfolio which was a relatively new business for us which is 27% more than a year ago. So, because I expect that we will catch up especially with the modernization in the end of the year, I'm very optimistic the EBITDA -- positive EBITDA of value-add will be higher than 2019. Let's move on page 9, which shows the results on the recurring Sales segment. We sold roughly 1,300 individual apartments for gross proceed of €195 million. The fair value step-up was surprisingly high with 38.8% and this is significantly above the guidance of 30%. So, we are well underway and actually see the potential to finish the year with a fair value step-up that might be a little bit above the 30% threshold. In terms of market sentiment the demand for condo units is unbroken and we do not even see any COVID-19 effect. The overall underlying market is -- the fundamentals are healthy. And I think, this also gives a strong support for the valuation results, which Helene will show you a few slides later. And with this back to you Helene.
Helene von Roeder: So, finally our Development segment on page 10. This segment includes all new constructions of apartments by way of entirely new buildings, excluding additions to floors on existing buildings. We distinguish between development to sales and development to hold for our own portfolio. The bottom line adjusted EBITDA was €45.1 million in H1 2020 driven by a higher gross profit and lower costs, which were partly due to the reversal of provisions that are no longer required. Page 11 has more color on our new construction pipeline. We completed 534 apartments to hold for our own portfolio in the first half and 83 apartments to sell. In our construction to hold, we now have identified potential for around 41,000 apartments based on the short, medium and long-term opportunities across our portfolio today. For 2020, we expect to deliver around 1,300 apartments. The Development to-sell part is a useful addition to the to-hold development. As I have explained before, we often rely on the higher margins from the to-sell project to cross-finance the land cost and make to-hold developments or economically feasible. The pipeline to sell is approximately 9,000 apartments. Our target for this year is to complete more than 300 apartments to sell. Page 12 shows the H1 valuation results. As in prior years, we took a pragmatic approach to the H1 valuation and did not value the entire portfolio, but only about two-thirds. This includes the 26 largest cities in Germany plus Vienna plus Sweden. The rest of the portfolio is not revalued and only adjusted for the capitalization of our investments. On this basis values are up by a total of €2.3 billion. Of that amount €1.8 billion came from performance and yield compression and around €0.5 billion for investments and growth the revalued part of the portfolio and on the rest. In the table on the bottom right of this page, we're showing the actual valuation results with 5.6% for H1 2020 and on the right-hand side is comparable for H1 last year with 7.9%. The shaded columns in the middle are back-of-an-envelope scenario not the valuation that would have been for H1 this year if Berlin had performed similar to last year. As you can see, the absolute value growth would have been a bit higher and the relative growth at 7.2% a bit lower due to the larger portfolio base. The new valuation puts the overall portfolio at a 23.4 times in-place rent multiple and €1,954 fair value per square meter. Page 13 shows a bit more detail across our 15 retail markets in Germany. As I said, we did a valuation of our 26 largest cities in Germany, but not for the rest. How much of our regional market was revalued is indicated by the pie chart. So for some regional markets like Dresden, Berlin or Kiel almost the entire asset base is revalued. For others such as Rhine Main Area or Stuttgart regional market only its price is revalued. This is particularly relevant for the Northern Ruhr Area where we only included, Duisburg much of which is probably the extent Northern part of Düsseldorf. The table gives you the breakdown of the total value uplift between performance and yield compression and -- on one hand and investments on the other. The map on the right-hand side shows the total value growth. Let's move on to page 14 for the NAV, supported by the H1 valuation the adjusted NAV was up 5.4% to now €54.72 -- €54.73 per share. As most of you will be aware EPRA published best practice recommendations, including three new NAV definitions. While the new metrics are mandatory starting with the reporting of the full year 2020 results, we have decided to already publish two of them with the half year results. In light of the H1 valuation, we think that makes sense. So let's go to page 15. Page 15 shows the reconciliation between equity including deferred taxes and the new metrics net tangible assets, NTA and net reinstatement value, NRV. We consider the NTA on the left-hand side to be broadly similar to current adjusted NAV that we report, as it's a proxy for the portfolio value. The main differences are that for the NTA, only looks at the long-term holding portfolios that ignores the disposal portfolios. In this context and logic, the second difference to the adjusted NAV that purchases costs, such as real estate transfer tax are no longer subtracted from the value, which makes sense, if you're looking at a holding portfolio on a growing concern basis. The other metric the NRV on the right-hand side on the step level and for the first time also accounts for value the land outside of the portfolio, we determine a proxy for the value of the entire company. We have been arguing for a long time that Vonovia is more than a collection of stones. The NRV takes this into account and includes the value for intangibles. In our case, that is the Value-add and the Development segments. The fair value of the intangibles is a result of an external independent valuation, which uses our internal five-year business plan to calculate an enterprise value via debt ETF. Similar to the NTA, the NRV also includes purchases cost, in this case, for the full portfolio, because the underlying assumption hereto is a growing concern basis. To page 16 and the LTV. Our LTV at the end of H1 was 41.8%. But the more relevant number is probably the LTV, including the dividend and the scrip ratio and that number is 42.7%, so well within our target corridor. We do continue to believe that a range between 40% and 45% is the right level for us, especially if we include the roundabout eight-year duration of our debts and the fact that 96% of our debt are fixed or hedged. The net debt to EBITDA multiple was 12 times. While this is a little bit elevated from the end of last year, we think it's still at a reasonable level, especially if you consider that this number already includes the full debt but not the full EBITDA potential, which is normally in a growing business. So, we're not concerned. Page 17, a bit more color on the capital structure and debt instruments. We received an upgrade of our business risk profile from S&P from strong to now excellent, which is the highest possible category. And from what we understand, only a few real estate companies worldwide are in this category. We view this as an evidence for a successful strategy to keep the risk profile low by broadening the business in terms of strategy and geography. On balance and in combination with our financial risk ratings, S&P has however left the company rating at BBB+, so you can imagine that we have ample headroom. We've added the bond covenant to the upper right-hand side of this page and with no surprise that there is plenty of headroom for us. Almost all debt is next to hedged and any interest rate increase would affect our numbers only slowly, as no more than 12% of the total debt to consume any given year, because of the slow maturity programs. You all saw, the two bonds we issued a few weeks ago. After paying an elevated coupon for these bonds that we issued at the peak of the corona crisis in April, the recent bonds were issued in a much calmer environment and you see this reflected in the new coupon levels. By issuing these bonds, we were able to lock-in the financial synergies for Sweden. On page 18, you see our guidance for 2020, which is entirely unchanged from Q1. We still expect rental income of approximately €2.3 billion and we're fully on track. Organic rent growth guidance remains at approximately 3.3% to approximately 3.8%. And the main determinating factor is the one-off rent reduction expected for November in Berlin. Apart from that fluctuation, which we have seen coming down because of COVID-19 has an impact on these numbers. And if turnover remains low, this guidance could become a bit of a stretch. For Recurring Sales, we're well underway in terms of volume and fair value step-up. And actually it looks like we might come out a bit above the 30%, we usually expect as demand continues to be very, very strong. Overall, then in terms of adjusted EBITDA charge total, we're very happy with the range and seen only if values should not reach. And finally, the Group FFO, we're also confident and even see a reasonable chance to end the year towards the upper end of the guidance range. This of course is relevant for the dividend as we once again intend to pay out 70% of the group FFO. And with that back to Rolf.
Rolf Buch: Yes. You see the results and the guidance is pretty straightforward, so let me briefly summarize. Our business continues to perform very stable and is fully in line with the expectation we have set before COVID-19. We have proven the robustness of our business model and are only marginally impacted by COVID-19. So I think this is what we have said over the last years it's a stable B2C business backed by social security network in all three countries: Germany, Sweden and in Austria. So this I think is now proven in difficult times. The underlying market fundamentals are completely intact and the environment in which we operate remains very favorable. We remain very confident in our ability to deliver growth as guided in our 2020 guidance and beyond. And last Vonovia is more than brick-and-mortar. And I think the new EPRA metrics are a good proxy to show the value of the portfolio so the brick-and-mortar and the full value of the company. And with this thank you for your attention and back to Rene.
Rene Hoffmann: Yes. Thank you very much Rolf and Helene. I will pass it directly to Alexandra for the Q&A please.
Operator: So now we’ll begin the question-and-answer session [Operator Instructions] The first question is from Thomas Neuhold of Kepler Cheuvreux. Your line is now open.
Thomas Neuhold: Good afternoon. Thank you very much for the presentation and taking my questions. I would like to start with a couple of questions on the slide Page 15, the calculation of the NAV. Can you please provide more details on the composition of the EUR 3.9 billion in fair value of intangibles? Which portion is due to the Value-add segment and which portion to the Development business? And can you maybe also elaborate on key valuation assumptions there? Then I have more questions.
Rolf Buch: Sure. Helene you will do it since this is your slide.
Helene von Roeder: Yes. So, hi. So as you can imagine I mean this is all very new. And at this point in time I'm not sure we will going forward disclose the differential between the two things. So I would like to come back to you on this one. What we have done is we used our five-year business plan as audited and decided by the Supervisory Board. We then gave it to a financial accountant, which we asked to do the valuation. He's using the valuation using the WACC that we actually publish in our financial reports in order to come up with the DCF method. So in a way what we've tried to do with the new NAVs is to make sure that everything can be tied back to the audited financial report. So at some point, I'm pretty sure you're going to grill Rene on that and he's really looking forward to it. He will be able to point to every single number which is used to calculate. The one problem I'm having is the fact that we don't disclose our five-year business plans. And to be honest, we're in discussion with both the EPRA and internally to sort of like find a way to get that solution because that indeed is something I'm sure you will want to follow.
Thomas Neuhold: Exactly. Okay. Understood. Okay. And then I have two more really general, more or less philosophical questions maybe for Mr. Buch. Firstly, I was wondering, what is your view on the work-from-home trend and what implications, chances and risk could this trend have on Vonovia's strategy?
Rolf Buch: So I think what we have experienced here was a crash course in digitalization. So I was surprised because my original was call centers, my original business how fast we were able to transfer the full business in a call center, which actually took us one day because we have a very good technical backbone. So – and we learned hereon that it is obviously possible to work-from-home and to manage the company. It was even challenging times to manage the company because we have changed processes and we all did it literally from home. So I don't think that we will come back to a situation where everybody has to do five days a week in the office. What I also have experienced here in our company and talking to other CEOs I think the same experiences, you need the people from time to time to meet in person because you get some effects which you probably don't get on the digital format. So I think we will come to a solution where we have a mixture of home office and in presence. And that's why we will need our headquarter building, but probably we have more room for expansion in this building before we need to extend the building. So the usage of office space from my point of view will be reduced in the future.
Thomas Neuhold: And in terms of impact on your operations, do you see any risks or chances there that maybe tenants demand bigger apartments because they need an office room so to speak, or do you see that there's a risk that the organization trend might stop and people use the opportunity to move out of the bigger cities because it's cheaper there, if they have to commute only two or three days per week?
Rolf Buch: No, I think one of the big driver to choose the locations actually is the school system for everybody who have children. And this is literally better in the cities. But we are talking about the cities in our regions. We are not only talking about the city center. And if you look at the German cities, actually it's still -- the single-family houses, it's still part of the city. So we are not talking about countryside. So nobody will move to Mecklenburg-Vorpommern because he has to work in Berlin and then is commuting two hours. So he is probably moving to Brandenburg very close to Berlin to move in Berlin. But this is for us the same business. And actually we are literally not in the city center, but a little bit on the outside where the people will move to. So we don't think that actually there will be a demand for bigger apartments. In general, I think the people have managed to do it. I think the biggest problem was the children were at home at the same time. And at the moment as long as the children and child care will go on with kindergarten and the schooling, I think the people are able to work from their home even with the existing apartments. So we don't think that there will be a massive change. And I also don't think that people will have the affordability to rent an 80 square meter apartment instead of a 60 square meter apartment. So I think this will have no major impact.
Thomas Neuhold: Okay.
Rolf Buch: But of course, what is important and I am so happy that we have done since 2013 modernization always for [Indiscernible]. I think it now makes a big difference to have an apartment without balcony or with balcony. And I personally think that to rent our apartment without a balcony will be more difficult in the future.
Thomas Neuhold: Okay. Thanks. Last question I have is, if you could also maybe share your view on how investment demand for residential assets and residential prices could develop in light of high macroeconomic uncertainties, high unemployment rates on the one hand; but on the other hand clearly negative interest rates will most likely will persist for much longer?
Rolf Buch: So we have -- actually in our last Board meeting we had a long debate, because we always looked of course of the long-term history of our valuation. And it's -- now you have to help me with this word linear? What is the English word for linear?
Rene Hoffmann: Like a Ruler. A straight line.
Rolf Buch: Okay. Just like a ruler. So it's like a ruler. There is no trend program. Maybe you look on the valuation especially of individual apartments, it's like a ruler. It has no change in trends. It's very astonishing. Of course for the block sales, you see sometimes a little bit more volatility, but this is because there's lesser transaction. So this is a very, very stable trend and there's no reason why anything should change there. And this is probably partly driven by interest rate, but I think more important, it is driven by demand and supply. So you know my famous example of my 21-year-old daughter. Actually, if she wants to move to Munich and she calls me and saying I need an apartment and I don't find a rental apartment, I will buy an apartment for her and rent it out to her independent on interest rates. So it's a supply-demand issue. And supply and demand issue is not changing due to COVID-19 is not changing due to economic cycles. It's just people have to live in the cities. And there's no alternative to the normal product. So that's why it's a very long-term trend. It's a long-term trend, but only be popular at the moment if Germany would be able to deliver much more construction volumes. And then if vacancy goes up then I think we will see a change in trend. But as long as vacancy is low and as long as we have so much construction permission issues, I don't see any change in that.
Thomas Neuhold: Okay. Thanks a lot.
Operator: The next question is from Sander Bunck of Barclays. Your line is now open.
Q – Sander Bunck: Hi, good afternoon. Thanks very much for that. I have a couple of questions. And I'd first like to go to page 15 which I guess indeed is going to be the most favorite slide for you in the next couple of weeks and months. But rather than focusing on intangibles I'm actually a bit more interested in the impact of the real estate transfer taxes. Can you just confirm that indeed the full EUR 3.5 billion that you're effectively adding back that is solely due to the add-back of real estate transfer taxes? Is that correct?
Rolf Buch: Helene?
Helene von Roeder : Yes. So let's talk a little bit about the transfer taxes or taxes in general. So what you've done is we sort of bucketed our portfolio: one according to a portfolio which we know we will hold forever; and the portfolio out of which we could potentially be selling apartments. So for example that means that like our entire Austrian portfolio where you know the business model is slightly different -- is different than in Germany is classified as a potential to-sell portfolio. And the portfolio where we have singled out into individual flats where we've created individual land registers out of which we do the recurring sales is classified as a to-sell portfolio. For that portfolios -- for those portfolios we deducted the entire deferred tax and we also didn't make an adjustment for the real estate transfer tax. So we were very, very clean around looking at portfolios where there might be at any point in time and is only in 50 years the intention to sell the flat. On the other hand, there is a portfolio like Sweden and our novel to-hold portfolio. There's absolutely no intention to sell the flats. We are looking at the valuation as a going concern basis. And there we feel that a we keep the deferred tax and the real estate transfer tax is simply not relevant because those are the portfolios, we're simply running at least the planned business model and eternity.
Q – Sander Bunck: Okay. That is clear. And the net impact is still positive EUR 3.5 billion. And just like -- and I understand the rationale, but more in terms of how appropriate do you think this is to do with given that there's a lot of debate at the moment about real estate transfer brokers in general. I think I also have always believed that effectively if you were to sell it, if you were to sell down your portfolio and I understand you don't want to do that but you always need to keep circa 5% in order to keep their reps in place. But particularly because of the first point like how appropriate is it to kind of make that adjustments now given that there's a lot of political discussion around that?
Rolf Buch: So I think probably I can answer this in my still existing role of EPRA challenge. So we have this debate for a long time because this is not really a Vonovia issue. I think it is the old system that actually there is a value of the building. And if you are selling it the buyer has to pay real estate transfer tax and he will deduct this in the state transfer tax from the buying price. And that's why it was reduced or it's reduced in the valuation. In reality if we sell buildings and blocks, we often do share deals. There's actually no real estate transfer tax. So you can argue actually real estate transfer tax doesn't happen. And what you have seen in our past history is that we -- the buyer was never able to deduct the real estate transfer tax but we had actually in reality pay a premium on the valuation. So I think this is really doubtable if it was a high concept for the valuation to deduct real estate transfer tax. So and I think that's why now it's more fair. And especially these buildings we are not selling so that's why real estate transfer tax will never happen. So that's why it doesn't make sense to deduct it. And that's why it is added back because the value has deducted it.
Q – Sander Bunck: Sure. But if the real estate transfer tax is to be abolished that rule in Germany you would effectively lose that benefit. Is that correct?
Rolf Buch: No. Then the value, I will not deduct it. And then we cannot add it back.
Sander Bunck: Sure. So -- but in that case your NTA goes down, right. If you can't add it back?
Rolf Buch: No. Because the value will go up, because there's nothing deducted. And then there will nothing be added, on. So it's -- the NTA will be the same.
Sander Bunck: Okay…
Helene von Roeder: So if you think, about it...
Rolf Buch: Okay. In our €29.6 billion there was -- actually in the valuation there was a deduction made of real estate transfer tax. And it is just added back. So -- but if there is no real estate transfer tax the value add does not have to deduct in a real estate transfer tax.
Sander Bunck: No. Yeah, but I mean not necessarily that, the real estate transfer taxes get deducted. What I mean is that, at the moment you can do share deals. And you can do asset deals. Your value -- your portfolio side on an asset deal basis, which means that the real estate taxes get deducted. But there is a discussion now where the share deals get abolished. And basically you always have to pay transfer tax on it. So in that case, your starting point remains the same. But isn't it true that, you cannot add back to the remaining €3.5 billion?
Rolf Buch: No. But the end the main argument is what Helene has said, is we are not selling it. So that's why, I know, real estate transfer tax will happen.
Sander Bunck: Okay. Okay. And just kind of for my understanding, that I understand the bridge correctly, so basically the impact is €3.5 billion, which is approximately €6.50 on a per share basis. I'm trying to get the bridge between the adjusted NAV of €54.7 and translate that to €58.1, which is effectively €3.50. But the added benefit of the add-back is circa €7. So what is the delta between the €3.50 and €6.50?
Rolf Buch: Can we do this later with Rene, because this is number crunching? Is this fine for you?
Sander Bunck: Yeah. But I think -- yeah okay. That's fine. I think its important number crunching. But…
Rolf Buch: Yes.
Sander Bunck: …okay. Okay. Yeah, we can do it later. The other question I had is on the EBITDA from services business. And I understood that, there was some impact from COVID. And I understand there was some impact from snow removal. But if I just look at the numbers then Q2 was actually lower than -- the contribution was lower in Q2, than it was in Q1. And I assume, usually in May and June we don't have that much snow. So I'm just trying to understand what -- because you've been quite bullish on it in the past and it's a small number. But just trying to get a feel for what the impact effectively was in Q2.
Rolf Buch: So -- but the Q2 is COVID effect. We don't have a COVID effect in Q1, so this is the main. The snow removal this is a small part. The big part is the COVID-19 effect, which is actually where we decided to stop work, which we are doing with internal resources. We normally would have dispensed more, where you can also see that we are lacking a little bit behind in modernization at the moment, which was by intention because we are not removing walls and not removing roofs during the lockdown. So that's why our people have a little bit less to do. So overall revenue of the Value-add business is the same, because we have more external works, so for example, we have not stopped at construction places for new buildings, because there is no tenant in it. So that's why there was no reason to stop it. So that's why we -- actually is a mixture between internal, so what we are providing ourselves and external work was changed. So even if we have the same revenue, we have less internal revenue in the craftsmen organization. And that's why we have lost a little bit of contribution, which is effect actually of our own decision. So we decided, this our own. We would have been legally possible to continue the modernization but we saw for the reputation and for the -- in the interest of our tenants that we had to stop it. And that's why you see the impact. And this of course you see only in Q2, because in Q1 there was no COVID-19.
Sander Bunck: Okay. Okay. Sorry. And then very last one is on your rating. I mean, basically S&P has notched up another one to kind of an excellent rating. What is it that they're expecting from you before you get to an A rating? Like, what is the requirement to become A, rated?
Helene von Roeder: Yeah. I think ultimately, they want us to have a higher commitment on our financial policy. And to be perfectly honest, we don't feel that it's the right thing to do to, sort of, lock ourselves in the respect that they are asking for us. It's an ongoing debate. Let's see. I mean as you all know I get a bit emotional about it especially, as a way we could go around the crisis. I think constantly showing resilience and strength compared also to other companies with a higher rating. So yes let's say it's an ongoing friendly discussion between the two of us.
Sander Bunck: Fine. Okay. And just curious like what kind of hard financial target is it that they're looking for? Is it the net debt-to-EBITDA, or is this an LTV, or what is it exactly that they are currently not quite happy with?
Helene von Roeder: Well, it's not really that they're not quite happy with the current situation. It's just, sort of, like they want to have a firmer commitment from us. And as you know they look at debt to equity ratios. No debt to debt plus equity ratios that's how they calculate it. So again it's not yet another number, which they are calculating which is again slightly different from what we show in these presentations.
Sander Bunck: Okay. Fine.
Rolf Buch: Once again, I think, this debate is all about -- we always are prepared also to do acquisitions. And sometimes we are doing acquisitions without raising equity even, if these are smaller acquisitions. So that's why I think we need a little bit of headroom. So that's why we stick still with a corridor in LTV terms from 40% to 45% is a pretty comfortable corridor. Its a few billions. But I think this is good in our business model and we are not ready to tighten our jackets. So that's why we stick with this because we think you can run this company even with a 45% LTV easily. We have seen it and I think there's a lot of argument. So why -- that's why I don't see any need to strengthen our jacket. In addition to it A minus and BBB plus, I have learned it's not a big difference.
Sander Bunck: Okay. That’s great. That’s appreciated. Thanks very much.
Operator: The next question is from Andres Toome of Green Street Advisors. Your line is now open. 
Andres Toome: Good afternoon. First question regarding the Development business -- sorry the develop to sell business. And how do you expect profitability to evolve there if the economic recession will be sustained?
Rolf Buch: I think also in development to sell business if you're going on the very high-end apartments, which is not meaningful for us but there you might see a slower turnover so we are just building a skyscraper in Vienna. And on the top three floors is very expensive apartments beautiful view perfectly, which has their price. And this probably might take a little bit longer if a recession will actually start. So today, we don't see any impact but if it comes. This has -- but this is probably a few apartments, probably a handful of apartments which will take a little bit longer so you will not see this in our business. So this will be the certain decimal after the -- so we will not see it. But there might be an impact. For the normal bread-and-butter apartment where people need to live in the cities and they need desperately an apartment because they have no alternative there will be no impact on the price.
Andres Toome: Fair enough. And the second point in your press release you've put a lot of focus on seeing friendly modernization in the communication. Just wondering does that in any way allude to potentially Vonovia pivoting into the senior housing segment in the future? Is that something you've been thinking about?
Rolf Buch: No. I think this is something that is specifically in Germany. We -- this is more from my responsibility role as the CEO of a German resi company. It's not so -- it's also business but it's also more for society. In Germany, we have an issue. We -- demographic is given. We cannot change it. And 10 years from now we need 3 million apartments. Today we have 700,000 apartments in Germany, which are suitable for older people. The main reason is that today apartments have showers and bathroom -- its bath tubes as the bathroom and for older people you need showers and you have a little bit wider doors that can go with -- how do you call it?
Rene Hoffmann: Walker.
Rolf Buch: With a walker. So that's why some changes have to be made in the apartment. If we are not doing this as a society, we will send people earlier to nursing houses than they need to. And I have not met any person here in Germany who prefers to live in the nursing home. So it's more expensive for society to have people in nursing homes than if they are still independent in their apartments. It's less quality for the people. And so – and we don't have enough nursing homes as well. So this is actually something, which goes beyond EBITDA and FFO. If we don't manage this as an industry and 10 years from now we will have voters who will be very dissatisfied, because they have to be forced to go into a nursing home. This doesn't mean that, we are investing into nursing homes for a very simple reason. Nursing homes is a different nature. It is a B2B business, because your customer is not the old person, but is somebody who's operating the nursing home. And that's why it's a completely different risk profile as long as you rent it out to operators. If you are going into the business of operation you have an issue, because people are going into your houses to die there. And this is the business, which has a reputational risk. And also you can see in the COVID-19 crisis that – we had some issues especially in Sweden for example not Vonovia but in general the high death rate came from nursing homes. So it's a totally different business and we have no experience in this. That's why we don't think that we should be in this business.
Andres Toome: That's very clear. Thank you very much.
Operator: The next question is from Marc Mozzi of Bank of America. Your line is now open.
Marc Mozzi: Good afternoon, everyone. Thanks for taking my questions. I have three questions and I'm sorry, I have as well to look at your page 15 once again. Can I just understand, what is the difference between the starting point between the NTA and the NRV? Because when I start at €29.6 billion and the other one at €31.1 billion and we think it has exactly the same definition. So I'd like to understand this. And can we have the €58.14 comparable for December 2019 just to see, how much growth you've been capable to generate here? And definitely I further ask if we can have a breakdown of how your €3.5 billion works between transfer tax and the rest would be much appreciated because I have to admit I'm completely lost here with your bridge. So that is my first question.
Rolf Buch: Helene, so I think the first two questions are in the presentation but can you go a little bit more in detail there?
Marc Mozzi: What is the difference between – starting simply with what is the difference between the €29.6 billion and the same €31.1 billion as IFRS shareholder equity plus deferred tax on investment properties and one here on holding properties? I'm not sure exactly to understand the difference.
Helene von Roeder: Yeah. Let me maybe – I see – sorry – 
Rene Hoffmann: Can I start this one by saying that, one is the holding portfolio only, i.e., it includes the deferred taxes of the holding portfolio only not of the selling portfolio to the point that you made. And the other is the entire portfolio. So the difference lies in the deferred taxes – the amount of deferred taxes added back. And the second question, Marc is on page sorry, 48, where you have the development of the NTA and the NRV from December 31 to June 30.
Marc Mozzi: Okay. Great. Okay. Thank you. Next question – 
Helene von Roeder: And then the third question Marc – sorry go ahead.
Marc Mozzi: No, no sorry please. The breakdown of the €3.5 billion.
Helene von Roeder: No, just the third question – you asked of the breakdown of the €3.5 billion, that again so you are referring to the real estate transfer tax the green thing on page 15. Is that what you're looking at?
Marc Mozzi: Yeah, exactly €3.438 billion exactly.
Helene von Roeder: 438 exactly yeah. So as I said, so the way you need to think about it is like when CBRE values a building they will say it's worth €100 okay all in. And then what they do is they deduct the real estate transfer tax from the value of that building which dependent on the federal country and in Germany it's somewhere between 2.5% and 6.5% I think. So ultimately in our balance sheet the value of the building, let's say, it would be 5% just pick a number will show up as 95. That is what the CBRE valuation of our buildings is in our balance sheet. Now for the holding portfolio, what we have done is we've added back those €5 because we are never intending to sell it. These buildings to us are worth €100. For those portfolios where we have individual landlords, which are classified as to-sell for a recurring sales portfolio and for the Austrian portfolio, we have not added back those €5 because we felt we couldn't make the claim of us never touching these portfolios Does that make sense?
Marc Mozzi: Yes it makes sense.
Helene von Roeder: Okay. Good.
Marc Mozzi: So the €3.4 billion it's entirely linked to transfer tax, nothing to do with deferred tax?
Helene von Roeder: No. The deferred tax is not in there.
Marc Mozzi: Okay. Okay. Okay. So I just start to understand now. Okay. Okay. So leave it. I'm sure we're going to have this conversation again outside of this call. My other question would be, can we have an update on the Berlin rent free? Where are we now according to your information in terms of future ruling from the constitutional court? Should we still expect something to come out before the end of this year? And maybe more importantly, how do you think that the departure of Mrs. Long [ph] may influence the viability of the Berlin rent free?
Rolf Buch: So I think constitutional court nothing has changed. I think they have now sent out 10 requests. Actually to be very clear there is two courts, now in the constitutional courts, which are taking care about the same subject. One which is the first chamber actually has sent out a questionnaire to 10 organization including ZIA where I am Vice President. So we have answered the question. They have got the answers back. You never know, but I think everybody is still saying in the summer, late summer next year we can expect a ruling. So -- but this is -- we are -- it's out of my range. So I'm not a lawyer. I'm not a partner. Nobody knows it. And then the question is which chamber will rule first and then the second chamber can overrule the first one. It's a very complex process. But nothing has changed in the while. This is now the process working. And we as Vonovia, we expect to have to reduce our rents in the end of November, because we don't think that we have a ruling before November. And it's definitely not a final ruling before November. Mrs. Long, I think it was possible to talk to Mrs. Long. So this was nothing you can talk to her. She was hearing. She was acting. So we were able to cooperate with her. I think we will have the same with the successor. But the problem is not -- was and is not Mrs. Long. It's a left party in Berlin, and it's a fundamental of a big part of the Berlin population, which thinks that private companies should be abolished to be very clear. And this is probably, I don't know what's the percentage but this is a significant percentage of Berliners believing that this -- we should not exist. And the outcome is a strong vote for the left party and Mrs. Long is just speaking for this group. So it doesn't change if you only change the spokesperson.
Marc Mozzi: Okay. Makes sense. And the final one would be on your admin cost for your rental business. So we still have to see the synergies of the acquisition of Hembla. When do you think that should occur? And what sort of amounts should we think about?
Rolf Buch: I think I cannot give you an amount because we're not disclosing it more than what we have disclosed at the acquisition of Hembla and this was around €30 million synergies for the operation and financial synergies. So this will come. In Hembla to be very precise, we actually plan to merge the systems in late autumn this year. We now have decided due to COVID-19 to merge it in the beginning of January. So this means that we will do the closing in Hembla and the old Hembla system. So this is naturally a delay of three months so nothing, which is actually meaningful. The reason for this is you are not merging a system closely before the closure because then if you see that you have issues you have no time to react and then you cannot close your books. So that's why it's a security decision, because we don't want to do the merger of the two systems too late in the year.
Marc Mozzi: Brilliant. Thank you very much.
Rolf Buch: Nothing -- actually, this is nothing to worry about. It will be delivered. It's up and running. No issues.
Operator: The next question is from Veronique Meertens of ABN AMRO. Your line is now open.
Veronique Meertens: Thank you. Good afternoon all. Thank you for the presentation. Just one last question from my side actually. You mentioned that around 1% of your tenants have taken you up in the offers to find a solution for the financial difficulties due to COVID-19. First of all, is it still mainly commercial tenants or is the residential tenants also picking up? And how will this work in the future with the macroeconomic uncertainty? I think the first wave of layoffs has started. What's your view towards the future on that?
Rolf Buch: So the 1% is actually the people of tenants which contacted us. This is not necessarily people which cannot pay their rent. They were afraid. And a lot of them you can find that -- we could help them to find their way to the social security and that's why they can pay the rent. So -- and this is again, what I said in the beginning of the presentation, it's not only a B2C business but the 2C part is backed by social security network. If you are getting unemployed in Germany actually, you don't have any issue with your rent, because the rent is paid by the state. And, I think, the vast majority of our buildings are suitable for social welfare. So that's why it's actually -- this is not an impact. So unemployment rate and rent collection has no correlation. And it's good that it has no correlation because otherwise we would have in Germany social problems. And at the moment we are relatively proud as Germans that we can manage the crisis without any social impact for the people.
Veronique Meertens: Okay. That’s clear. Good to hear. Thank you.
Operator: Next question is from Chris Fremantle of Morgan Stanley. Your line is now open.
Chris Fremantle: Hi. Good afternoon. Just two quick housekeeping questions please. You talked about the one-off reduction in rents in Berlin, that's possible in November and the impact on the 2020 FFO. Can you just clarify what that figure is on an annualized basis please, so that we can calculate how that might or might not impact the 2021 FFO as well, please?
Rolf Buch: So it's probably and as close as roughly €10 million.
Chris Fremantle: €10 million on an annualized basis?
Rolf Buch: Yes.
Chris Fremantle: Okay. Thank you. And then secondly, you've been very clear about your acquisition criteria. Just on the new NAV reporting, how will that new NAV reporting alter your acquisition criteria, especially around the NAV accretion? Should we assume dilution of the EPRA NTA is the new benchmark for acquisitions going forward?
Rolf Buch: So we have not taken a clear decision because we still -- this is the first time that we -- as a service, we report the new EPRA metrics. So you will have the formal EPRA metrics, as EPRA decided in the end of the year. And I as a Chairman of EPRA should stick to the rules of EPRA, so that's why we are sticking exactly to the rules. If you want to know my personal opinion, I think, the NTA is probably the best -- if you are buying brick-and-mortar then the NTA accretion is probably the best criteria. But this will come -- we will take this decision later and we will discuss it with our Supervisory Board before we will disclose it.
Chris Fremantle: Okay. Thank you.
Rolf Buch: But the end, of course, the sense of this acquisition criteria is to make sure that the Management Board is not pushing too hard for acquisitions, so to protect actually shareholders from too expensive acquisitions and that's why we will use it accordingly to fit to this purpose.
Operator: The next question is from Christian Roy Davis of [indiscernible]. Your line is now open.
Unidentified Analyst: I just had a quick question on the external Value-add business. You've set out very clearly where you've seen growth in multimedia smart metering energy supply. So how is the external revenue in the Value-add segment down year-on-year even slightly if all the KPIs of delivery are up meaningfully?
Rolf Buch: But the external was actually the snow removal. This was the explanation for this -- actually it was in the first quarter, which is I think an effect which is not meaningful for the long-term. It's a relatively high-rentability business snow removal because you actually take the risk if there's snow falling or not. So, that's why of course in the year there is no snow, you have no revenue and you still have some cost-related. But this is how it is rewarded and that's when the other years, it will be better. The external revenue will grow of course significant because we will grow in the energy and providing. We have to energy providing anyway because we have to manage our CO2 emission targets. So, it's actually the only solution to get a CO2-neutral housing stock if that we also provide energy and electricity mainly to the tenants. And that's why this will be an external revenue and this will go in the next years. I have to admit that we have to work on the lobbying because, some of these which is good for environment, which is good for the CO2 emission footprint of Germany is still in the regulatory environment in Germany not allowed. So, there is some processes being done. I think always, we will only expect actually some more legislation, where we're allowed to sell directly electricity to the tenants before the end of the government, so this is ongoing. And -- but we think we have to do it because otherwise we will not get CO2 emission-neutral buildings. So this is linked. And probably we have seen our -- example what we are doing in Bochum right now, where we are doing research, where we actually are learning how we can produce from solar panels heating and electricity and store it and then sell it to the tenants. This is a widely respected and a lot of politicians are traveling at the moment to Bochum right now to look what we are doing. We will have a conference in the beginning of October with very prestigious people. And I think, we will use this as a showcase to show what has to be changed to protect our environment. And so, this is a huge potential. And economically of course, if we are able to sell to our tenants' electricity, this is a very big basket of additional revenue and additional EBITDA. But this of course again, as you know, we are prudent, we are slow and we are doing step by step. This will not come immediately like step by step.
Unidentified Analyst: Thank you. Can you just confirm that then the residential environment bucket of the value-add EBITDA? How much of that comes from snow removal in a typical year?
Rolf Buch: We are not disclosing the detailed figures, but actually it's not a meaningful. But it came to zero this year.
Unidentified Analyst: Okay. That’s understood. Thank you.
Operator: As there are no further questions,. I hand back to the speakers.
Rene Hoffmann: Thank you, Alexandra. And thanks everyone for dialing in. That concludes today's call. As a reminder, our nine months 2020 results will come out on November 4. We'll be engaging with you guys quite a bit until then. And obviously as always, me and the colleagues are readily available. If you have questions, please do reach out. Let us know. And until we speak again and one day hopefully see each other again, so long have a good day and thanks for joining.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect now.